Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Emerson Fourth Quarter Fiscal 2011 Results Conference Call. [Operator Instructions] This conference is being recorded today, Tuesday, November 1, 2011. Emerson's commentary and responses to your questions may contain forward-looking statements, including the company's outlook for the remainder of the year. Information on factors that could cause actual results to vary materially from those discussed today is available at Emerson's most recent annual report on Form 10-K as filed with the SEC. I would like to turn the conference over to Lynne Maxeiner. Please go ahead, madam.
Lynne M. Maxeiner: Yes. Thank you. I'm joined today by David Farr, Chairman and Chief Executive Officer of Emerson; Frank Dellaquila, Senior Vice President and Chief Financial Officer; and Pat Fitzgerald, my replacement as Director of Investor Relations. I'm moving on to my next assignment as Vice President of Planning and Development for Emerson Network Power Systems. Pat has been with Emerson since 2002 and is coming to the IR role from Emerson's Process Management Business segment. I will turn it over to Pat to review the fourth quarter results. Pat?
Patrick Fitzgerald: Thank you, Lynne. Today's call will summarize Emerson's fourth quarter 2011 results. A conference call slide presentation will accompany my comments and is available in the Investor Relations section of Emerson's corporate website at emerson.com. A replay of this conference call and slide presentation will be available on the website after the call for the next 3 months. I'll start with the highlights of the quarter, as shown on Page 2 of the conference call slide presentation. Fourth quarter sales were up 12% to $6.5 billion, with a double-digit increases in 3 segments. Underlying sales growth was 9%, led by strength in emerging markets. Operating profit margin expanded 170 basis points from the prior-year quarter to 19.1%, which reflected record quarterly profitability. Net earnings per share of $1.01 was also a record for the quarter. Earnings per share from continuing operations of $0.98 increased 31% from the prior-year quarter. Operating cash flow of $1.255 billion was strong, and free cash flow was just over $1 billion. Our free cash flow to net earnings conversion was 133%. The balance sheet remained strong, as operating cash flow to total debt was 62%. The pace of share repurchase increased in Q4 to $444 million. Emerson's record profitability provides a strong foundation to continue investments in key growth markets and technologies. Moving to Slide 3, the P&L. Again, sales increased 12%, with underlying sales up 9%, currency added 2 points, and acquisitions added 1 point. Operating profit increased 23% to $1.251 billion or 19.1% of sales, as cost reduction benefits and lower stock-compensation expense were partially offset by material cost pressure and growth investments. Earnings from continuing operations increased 29% to $735 million, which included a $19 million impairment charge for the wind turbine pitch control systems business. We repurchased 9.4 million shares for $444 million in the quarter, which leads to EPS from continuing operations of $0.98. Net earnings per share of $1.01 includes a $21 million gain from the heating products business divestiture. Next slide, underlying sales growth by geography. In the fourth quarter, the U.S. was up 3%. Total international increased 13%, with Europe up 10%, Asia up 13%, Latin America up 22%, Canada up 15% and Middle East and Africa up 13%. Again, total underlying sales were up 9%, currency added 2 points and acquisitions added 1 point, resulting in consolidated sales increasing 12%. For fiscal year 2011, U.S. was up 8%, Europe up 11%, Asia up 11%, Latin America and Canada both up 20%, and Middle East and Africa up 16%. Total underlying sales increased 11% for the year. Currency and acquisitions added 2 points each, leading to consolidated sales growth of 15% for fiscal year 2011. Emerging markets now represents 35% of total sales. Moving to Slide 5, the income statement detail. Gross profit dollars of $2.59 billion was 39.6% of sales, down 30 basis points from the prior-year quarter, as material inflation slightly exceeded price increases, and cost reductions and volume leverage more than offset unfavorable product mix. SG&A expense of 20.5% of sales results in operating profit of $1.251 billion or 19.1% of sales, increasing 170 basis points from the prior-year quarter. Other deductions net reflected lower acquisition costs of $20 million and favorable currency transactions of $16 million, while amortization was higher by $14 million and, as previously mentioned, impairment impact of $19 million. Interest expense of $49 million leads to pretax earnings of $1.1 billion or 16.7% of sales, and tax rate for the quarter was 31.6%. Next slide, cash flow and balance sheet. Operating cash flow of $1.255 billion was down 1% from the prior-year quarter, with a favorable impact from working capital. Capital expenditures of $244 million resulted in free cash flow of just over $1 billion. Emerson's balance sheet remains strong, and working capital efficiency continues to improve, with trade working capital as a percent of sales improving 50 basis points to 15.0%. Moving to Slide 7, business segment P&L. Business segment EBIT of $1.168 billion or 17.4% of sales declined 20 basis points, as material inflation, intangibles amortization and growth investments exceeded benefits from cost reductions, price increases and volume leverage. Differences in accounting methods was $62 million, and corporate and other of $88 million reflected lower stock compensation expense of $94 million and lower acquisition costs of $20 million. Our lower debt balance resulted in interest expense of $49 million, leading to $1.1 billion of pretax earnings. Next, we'll review the individual business segments, starting on Slide 8 with Process Management. Sales in the quarter increased 18% to more than $2 billion, as underlying sales grew 16% and currency added 2 points. By region, the U.S. was up 9%, Asia up 27%, Europe up 19% and Latin America up 13%. The measurement, systems and valves businesses all realized strong growth. EBIT dollars of $450 million or 22.3% of sales increased 39%, driven by a strong small volume leverage and cost reduction benefits, as well as favorable foreign currency transactions. This was an outstanding quarter for Process Management, with record sales, profitability and backlog. Slide 9, Industrial Automation. Sales in the quarter of $1.385 billion increased 19%, as underlying sales grew 15%, currency added 5 points and acquisitions deducted 1 point. By region, the U.S. was up 15%, Asia up 19%, Europe up 11%, Latin America up 24%, and Middle East and Africa up 50%. The growth was led by the power generating alternators and Fluid Automation businesses. EBIT dollars of $205 million or 14.7% of sales increased 7%. Total price increases more than offset higher material costs, but the impact was dilutive to margin. Volume leverage and cost reduction benefits were offset by restructuring expense and growth investments. Full year 2011 segment margin increased 190 basis points to 15.7%. Moving to Slide 10, Network Power. Sales in the quarter of $1.843 billion increased 10%, as underlying sales grew 4%, acquisitions added 5 points and currency added 1 point. By geography, U.S. was down 5%, Asia up 6%, Europe up 5%, Middle East and Africa up 27%, and Latin America up 24%. Network Power Systems Asia and the global UPS and precision cooling business were strong, while embedded computing and power sales were affected by weak markets and aggressive pricing actions. Sales were down in the U.S. Energy Systems business. EBIT dollars of $248 million or 13.5% of sales was down 3%, as cost reduction benefits were offset by China labor-related costs, acquisition dilution, price increases -- or price decreases and unfavorable product mix. Chloride amortization increased $11 million, and there was incremental investment in the Trellis program of $12 million. Despite these headwinds, segment margin increased 310 basis points from third quarter to the fourth quarter. Next is Slide 11, Climate Technologies. Total sales for the quarter were essentially unchanged, with underlying sales down 3% and currency added 2 points and acquisitions added 1 point. By region, U.S. was down 7%, Asia was flat, Europe down 10% and Latin America up 46%. The North American residential and commercial markets remain weak on channel inventory reductions and a cautious economic outlook, and the China residential and commercial air conditioning business softened as well. Global refrigeration and transport businesses were strong in the quarter. EBIT dollars of $170 million or 17% of sales decreased 12%, as the volume deleveraged and unfavorable product mix headwinds were partially offset by cost reduction benefits. Price increases offset material inflation. The geographic mix of Climate Technologies continues to globalize, with international sales representing 48% of total sales in 2011. Slide 12, Tools and Storage. Sales in the quarter of $464 million increased 4%, as underlying sales grew 8%, currency added 1% and divestitures deducted 5 points. By geography, the U.S. was up 8%, Asia up 16%, Europe up 12% and Latin America up 9%. Growth in nonresidential construction-related businesses offset U.S. residential market weakness. EBIT dollars of $95 million or 20.6% of sales increased 3%, as cost reduction and volume leverage benefits offset unfavorable product mix and higher restructuring costs. Our repositioning of the Tools and Storage segment continued with the completion of the heating products business divestiture in the quarter. Moving to Slide 13, an overview of the full year results. 2011 was an outstanding year for Emerson. Record sales of $24.2 billion increased 15%. Emerging markets grew to 35% of sales, while total international sales increased to 59%. Operating profit increased 21% to a record margin of 17.5% of sales. Earnings per share from continuing operations increased 25%, and net earnings per share increased 15%. Fiscal 2011 was our 55th consecutive year of increased dividends, and the Board of Directors voted to increase the December dividend 16% to $0.40 per share. Cash generation remains solid, with $33.2 billion of operating cash flow and $2.6 billion of free cash flow. Return on total capital for the business was 19.6% in 2011. Finally, on the next slide, our fiscal 2012 outlook. We have strong momentum heading into the next fiscal year, with stable order trends, record backlog, accelerated investments in growth markets and technologies, and high emerging markets participation. Based on current economic conditions, including a recession or no growth economy in Europe, our initial view of 2012 includes underlying sales and orders up 5% to 7%, reported sales up 4% to 6% and operating profit margin of approximately 18% and pretax margin of approximately 15.5%. We expect the tax rate of approximately 31%, a pension headwind of approximately $30 million, one minor divestiture and earnings per share growth of 8% to 12%. Two items to be aware of for the first quarter: First, there will be a onetime charge of approximately $20 million to eliminate a post-age 65 Medicare supplement currently available to a limited number of employees; and the second is the supply chain disruption due to flooding in Thailand that we are managing through. And with that, I will turn it over to David Farr.
David N. Farr: Thank you very much, Pat. I want to welcome everybody this afternoon. First, I want to thank Lynne, Lynne Maxeiner, for 3 outstanding years of excellent Investor Relations. And I know she had a lot of fun managing the CEO, i.e. me, the boss. And she learned a lot, and I'm sure she'll go on to her next job and do a great job there. And the most important thing, though, as she finished out her 3 years is, she brought the World Series back to St. Louis. And you have to understand, she was at Game 6 with the Rally Squirrel, and she brought the win in, and we appreciate that, so we had the chance to win Game 7. So, Lynne, we wish you the best, and have fun with Scott Barbour up in Network Power. You've done a great job, and he did a great job in front of the board today. Next, I want to thank the OCE, the business leaders, presidents and global leadership for an excellent performance throughout a very challenging and volatile and you-had-to-be-flexible global economy. There are a lot of dynamics. As I look at it, there are a lot of curveballs, changeups; many high, tight fastballs under the chin; and the organization did an outstanding job dealing with this very dynamic and changing environment. And I was pleased to see them rise to the occasion, as the OCE and myself put a lot of attention and focus on certain areas, as those areas started changing. We fundamentally delivered the numbers that we outlined in our February St. Louis Investors Meeting, from sales growth, to margins, the EPS, the dividends, the restructuring, the ROC, the acquisitions, the divestitures. The biggest issue we faced with this year that was a very challenge -- a big challenge for us was the price cost. It was something that we really worked hard all year long. And in my opinion, we've got it under control as we enter fiscal 2012. And our current plan, based on Pat just read to you, assumes that we stay green in our price cost relationship in 2012. We are also looking at a moderation of that inflation, as some of the commodities have come back and moved back and costs over the last couple of months. In my opinion, 2011 finished strong. We are moving in to fiscal 2012 in a very strong position from a balance sheet standpoint, technology, new products and emerging markets, which we see the significant increase in incremental investments last year. We will drive a solid 5% to 7% underlying sales growth and I believe another record operating margin around 18%, even with an additional incremental advance growth technology investments that we put forth, again, here in 2012, based around our new products, our technology, based around global sales organization, technology organization, based around our expanded service organization, some new solutions, technology organizations and some new business models. We fundamentally believe from the OCE perspective, in the business area perspective, that we need to take and invest our record profitability into programs to drive growth. We are looking at what I would look at a moderate growth environment in the mature markets, no different than I said back in February of 2011. We are looking at still a good emerging market growth in GFI, gross fixed investment, though, it will be less in the next couple of years that it has been in the last 5 years. But it will still be GFI growth in the 5%, 6%, 7% range, which we've been able to get a multiplier effect, as you well know, over the last 10 years. Our record profitability is driven by hard, difficult investments and restructuring and a commitment to technology and innovation. And it's important that we take that profitability and put it back into the business: one, it allow us to grow the business; and two, it will allow us to grow a profitable business and allow us to continue to expand our incremental profitability over the next couple of years. As we look at the final closing out of 2011, I want to make a call-out to individuals that really had to rise up in some very difficult environments, in particular, Network Power. As you know, we had a very challenging first half of the year. They improved in the third quarter, and they improved again in the fourth quarter, and they're set up to improve again as we move into fiscal 2012 on a total year basis. They are taking the tough actions necessary in the marketplace as they integrate the chloride and Avocent acquisitions. And I'm pleased to see these guys making the progress they're making and the support that we're giving them again next year in incrementally higher restructuring, as they go forth and continue to drive that business to be a global franchise for us and for our shareholders for many years to go -- for many years to come. We see a very dynamic global economy in 2012. We do not see a recession recurring in the United States. I see moderate growth in the United States. I see nonresidential construction doing -- still doing well in the United States. Residential will be -- it will be a challenge, I think, for the first 6 or 12 months, or first 6 to 8 months of the year, we may set be some pickup in residential as we go forward in the second half of 2012, but we're not banking on that. It's going to be still be very challenging market. In Europe, the economy is very, very, very, very challenging. Basically, we're seeing no growth from an economy standpoint. We're seeing basically a recession or basically no growth. Our businesses are well positioned, both from a technology and a cost structure standpoint. We had a very strong year in Europe, and I expect us to have another other good growth year next year, though, not as good as we had this year. But we are well positioned from a technology, infrastructure and a cost structure to continue to do well in the European marketplace. In emerging markets, the growth rate, yes, is slowing, but it's still good. It's still the highest growth rate we see in the world. And at 35%, we have a strong position, 35% of our sales in emerging markets, we have a strong position. I still believe that emerging markets will grow 6%, 7%. The key issue for us, as we have made significant investments, in incremental investments in the last 12 to 18 months, we are going to do it again in 2012. And this will allow us to continue to grow and expand and drive towards emerging markets representing 45% of our total sales in the next 4 or 5 years. From the balance sheet and the cash flow, we have what we need to get the job done. We control our own destiny. We generated the cash we need to pay out our shareholders a significant dividend. We feel good about the company as we go into 2012. We are paying out a dividend now in the 40% to 45% of our free cash flow basis. So this year we increased it nearly 16% to an annual basis of $1.60. A significant increase. We believe quite strongly it will continue to generate the cash we want to pay back to our shareholders and also to pay ourselves to invest for future growth and also do acquisitions. We have the capability of generating enormous cash flow in this company, both from -- and then we can invest it and pay it back to our shareholders. As I wrap it up, I look at this year and I told the board today it was a good year; it was a challenging year; it was a record year on many levels. It was not the easiest year of my 11 years as CEO, but it was a good year. I appreciate the organization rising to the challenges that we faced all year long and executing, and we're going into 2012 with a very strong hand, in my opinion, and we're ready to grow in a dynamic marketplace. As I look at next year, the key issue for me is execution and flexibility. We don't know exactly what's going to come at us from quarter-to-quarter, but we have the financial strength and the position globally to do well. And I feel will do well based on the initial forecast that we gave you this afternoon. We will talk further in February when come to New York in the Investors Conference. We'll talk about the -- what we see at that point in time. I would imagine the market place will a little bit differently then, will have a little bit more clarity. We'll give you insights into various businesses. But as we leave this year, this company is in a very strong position from top to bottom. We're executing and we know the issues we have to deal with, and we're dealing with them. And I feel good about the organization and where we're going. So with that, I'm going to turn it over the floor to answer some questions. Thank you very much.
Operator: [Operator Instructions] Our first question comes from Chris Glynn from Oppenheimer.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Dave, I was wondering if you could comment on the phasing of China stimulus between tightening and back to long-term plans, specifically in the low-income housing units, I think they have a $10 million a year target, might have been half that this year. But that, and also more broadly, if you could.
David N. Farr: Yes. From my perspective, China is -- China will grow next year. It's clearly slowing down, and they're trying to manage certain parts of the economy. And my expectations in the housing area, which does drive some of our Climate Technology businesses, that I think you'll see from quarter-to-quarter that it could be up and down, quite bouncing, quite volatile. So I feel that as you go into 2012, I believe the Chinese government will stimulate their economy as they move into the next generation leadership. So I feel reasonably good about the China economy even though it will be a slower growth next year. But I feel that we will still have a very good growth year in China. We finished this year around 14%, and I would expect us to be in the 12% to 15% again next year as we go into the -- in the fiscal year. It will bounce around from quarter-to-quarter, but I feel good about what's going on in China overall.
Operator: Our next question comes from Julian Mitchell from Credit Suisse.
Julian Mitchell - Crédit Suisse AG, Research Division: I guess the first question was: Following up on the sort of the outlook by geography, because I guess your global organic growth guidance is sort of 5% to 7%. Europe, it doesn't sound like you're expecting much at all. And I guess your emerging market growth comment of 6% to 7% for '12, that's a GDP growth, I guess. So your own...
David N. Farr: That's GFI.
Julian Mitchell - Crédit Suisse AG, Research Division: GFI. Right. Exactly. So your own end -- your own revenues will exceed that. So what's your -- I just wanted sort of more clarity, and I guess hear something for the U.S. growth, whether GFI or your own growth in the U.S. Because I guess you've given Europe and the emerging markets sort of outlook.
David N. Farr: What I gave you is European economy growth. I believe next year in Europe, we will grow in the 5% to 7% range in Europe. Based on our mix of business and the export and the backlog that we have in Europe right now, I still believe that our European businesses will grow in the 5% to 7% range. I gave you a GDP growth in Europe. I think the economy will be in a recession or no-growth environment. In the U.S., I think the U.S. growth next year for us will be in the low- to medium-sized single digit. I think you're going to have a moderate growth in GDP. We had a very strong U.S. growth this year. And so I would say that we're going to be growing, again, at the low end, 4%, 5%, 6% range for the U.S. next year. Emerging market growth, if I see 2x, we're -- we've been not doing quite 2x GFI, we've been doing closer to 1.7, 1.8x GFI. So that's the type of emerging market growth that I see next year at this point in time, and it will vary. And so from my perspective, we're still going to have a pretty good year. But the key issue for me is, we're going to need to be able to react very quickly to the changing market dynamics. If things happen and unfold in China and the stimulus does not come forth and we see a slowdown in China, we'll have to react to that. The same thing in Europe. If things get really messier than they are today, then we're going to have to react to that. But we've gone into this year, we took our inventory down. But year end, we actually finished the inventory level at the same level we had last year, and we grew sales multibillion dollars this year. So we're going into next year being lean from a manufacturing standpoint and operations standpoint, knowing that we're going to have to be flexed and flex very quickly given what's going to change. But the growth is out there. So I still feel that we can grow this company in the 5% to 7% underlying growth. We just have to flex it very quickly this year.
Julian Mitchell - Crédit Suisse AG, Research Division: Okay. And then just on a divisional basis, I mean Network Power, as you say, you sort of -- things are looking a lot better there sort of sequentially. But I guess year-on-year, your earnings in that business -- still sort of slightly down, I guess, year-on-year in Q4. So when you're looking at '12, what do you think really gets the earnings up a lot? I mean, is there any update, say, on the -- what your decision was around the India and China telecom businesses? And also, you call that U.S. weakness on some telecom-related stuff. Schneider and Eaton had mentioned something in data centers as well looking a little bit weaker. If you could just update us on the data center demand outlook.
David N. Farr: I'm not going to talk about segment information from a sales or profitability standpoint. We'll do that in February. From the market standpoint, we have corrections at our customer levels from time to time. I think the market is slowing down in the data center around the world, just like the overall economy. But we're still seeing reasonable orders we saw over the last month. Again, I think it's going to be a dynamic year, both from the telecom standpoint and the data center standpoint, though, I still believe there'll be moderate growth. And we'll have to see how it unfolds here. I mean, the fourth calendar quarter for us is typically a very volatile quarter because you don't know what companies are going to do from the shut -- pull forward or shut down. And therefore, we won't get a good read from the business segments until we get into January time period. And that's when I feel more comfortable giving an update on that, Julian.
Operator: Our next question comes from Steven Winoker from Sanford Bernstein.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Just first question around, very simply, on the reduction in inventory, I think it was around $250 million, what's the earnings impact of that? How should we think about that flowing through?
David N. Farr: It hurt us.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Just order of magnitude.
David N. Farr: It hurt us.
Steve Searle - Unspecified Company: Okay. So...
David N. Farr: I mean, I can't -- I mean, I know it hurt us. I can't sit here and quantify that. I do know from a standpoint it will hurt your margin when you take it out within that type of time frame. We're talking about 2- or 3-month time period. It does hurt us. But from my perspective, it's the right thing to do. So typically, we will flow through on production standpoint on that 20%, 25%, 30% range. And you lose a little bit less than that as you take it out. But it definitely hurt us from a margin standpoint. But I thought it was a very, very appropriate given the uncertainty we see both around the world, both in Europe and somewhat in the United States, that you get your balance sheet in order going into that new fiscal year, and why wait until the new fiscal year starts to get it done, and so we did it.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: And was that mostly in Climate Tech? Or was it broad-based climate and industrial? How should we think about that?
David N. Farr: It's Network Power and Process, were the big areas.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Network Power and Process...
David N. Farr: Climate Technology keeps -- I mean Climate Technology had seen this slowdown for quite some time. Our customers, we communicate very strongly with our customers every day, and we adjust our factories every day. It's a little bit different business model. So we've done a pretty good job of keeping that in line for the last 3 or 4 months. And I expect that inventory to stay pretty weak both at our level and the channel in Climate. Network Power and Process and -- those areas are very, very important. The last market we really need to get our handles around is Industrial Automation, and that usually takes a little longer as we get a feel for where the end customers are going, and they still don't know themselves.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: I was to say, do you feel like you're chasing inventory destocking at this point? Or do you feel like you're well positioned?
David N. Farr: I think we got ahead of this curve. I mean, I fundamentally believe you've got to stay ahead of this curve, and we did. And so I want to thank the operational people. It does hurt us. And I wasn't being cute with this, Steve. It's very hard for me to magnify how much, but I do know it hurt us. And so I think that, from my perspective, it is the right thing to do. And we're sitting in a good position right now, and we'll selectively bring the inventory back in to place as we see that market stabilize, which I feel, by the way, is stabilizing in North America. I feel that things have bottomed out, and now we're sitting at a place that I feel comfortable that we will not have an economic downturn in the United States in the next 12 months.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then I know you don't want to talk about 2012, but just if I talk about this quarter's incremental margins for, say, Process, and I think it was 37% sequentially. Network Power, again, like 44% sequentially. Those were still very high numbers. If you think about -- was there anything that was sort of unique to the quarter that helped you achieve that? Or this was just standard pricing costs, cost reduction actions and leverage?
David N. Farr: From a Process standpoint, we had a very strong mix from a lot of the -- what I'd say, MRO and some of the good customer base, and obviously some better products that came through that. I would expect typically what we see in Process, we're very profitable business, we'll have a good month, good quarter, and then we'll slack off. It goes back and forth based on the mix. And I would expect us to have more large project business flowing through in Process in total next year than we did this year based on the backlog. Relative to Network Power, Network Power really worked hard to clean up some of the issues that we dealt with in the middle of the year. And so I would expect incrementally the margins will still be good, but I don't expect them to be at that level. They really made a tremendous headwind in the last 45 days as we really focused hard in trying to get ahead of that power curve. And I feel good where they are, and they're going to have a very strong 2012. They just need to keep executing as we're talking about.
Operator: Our next question comes from Jeff Sprague from Vertical Research.
Jeffrey T. Sprague - Vertical Research Partners Inc.: Just a couple of things. Could you give us some context on where you are on the growth spending? You spend a little time in your remarks on the things that you're focused on. Do you think it kind of discernibly moved the top line in '11? Or is it a driver rearview on '12? And I think you said actual spending level is going up on '12. Can you give us any more clarity on what's going on?
David N. Farr: Yes. The impact -- it will be in '12, that we spent this year. I mean, we've invested -- I think in the end we ended up around $37 million, $30 million? So it -- $37 million, $35 million -- say around $35 million last year. We're going to spend probably next year in that $50 million range. So it'll be a little bit more incremental, $35 million plus 15 type -- incremental type. It's going to -- the way the spending works is going to be -- we're setting the -- we're planting seeds in investment growth for -- last year, we did it for 2012 and 2013. This year, we're going to be doing it for 2013 and 2014. But given the levels of profitability we derive and all the actions we've been taking across this company, we feel quite strongly that we need to invest for the growth because we're going to have to drive the growth. So you're going to see the investments both from a technology standpoint, a lot of innovation coming out, a lot of our new service and solution-type businesses. Really, the new business models we are working on are going to start to paying dividends for us and helping us grow next year. I mean, it's going to help us grow despite what I would say the slowing marketplace out there. We drive very hard to try to have an incremental improvement over that type of marketplace which we had the last couple of years. And I believe that's where this focus point is, in particular in technology, in particular, not in emerging markets, but also in the United States where there is a lot of investments going on in the oil and gas industry and some of the power industry. And we have -- we're making some investments to support that as that goes forward here. So it's a very global thing that will help our 2012 and 2013 growth and, obviously, profitability.
Jeffrey T. Sprague - Vertical Research Partners Inc.: And as you said, you don't want to get into the weeds on the segments, but if we think about kind of the fix in Network Power, obviously, you did show some great progress in this quarter. In terms of kind of resetting the base there and other restructuring, how far along are you? Are you 90% through this now? Or is there a lot of work to do in the first half still?
David N. Farr: There's a lot of work to do. We're going to have around $30 million of restructuring in our Network Power business, maybe a little bit more, in 2012. So the work has started, and the increment you're going to start seeing some effort relative to some significant restructuring in our European businesses, and that's going to happen in 2012 and early 2013. So it's -- as I said, it's a multiyear problem or a multiyear -- it's a multiyear program, and we've had some progress in last year. And we're going to have more progress, in my opinion, in 2012. But there -- if you look at our restructuring, we're talking about $100 million of restructuring next year, a big chunk of that restructuring is going to be in that Network Power business.
Jeffrey T. Sprague - Vertical Research Partners Inc.: Great. And then just one follow-up to clean up. Pat, in the script, said there was a $16 million transaction gain. Is that the gain that's referenced in the -- lease on Process? Or was that spread out throughout the organization?
David N. Farr: What was that gain?
Jeffrey T. Sprague - Vertical Research Partners Inc.: The FX transition.
David N. Farr: Yes. $16 million.
Jeffrey T. Sprague - Vertical Research Partners Inc.: Did that include the Process?
David N. Farr: That includes Process. I mean it's across all the business. It's all businesses, all businesses, ins and outs. So every business, not just the Process business.
Operator: Our next question does come from Steve Tusa from JPMorgan.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Just a question on the free cash. You talked about how you guys are taking this inventory out. I looked at -- just maybe I'm not getting all the detail because you guys don't break out inventories, receivables and the other inventory accounts, but it looked like this quarter's working capital performance was actually somewhat seasonally weak going back to the last several quarters. Can you maybe help me jive those numbers if there's something else missing in those within the working capital accounts that offset that inventory movement?
David N. Farr: I mean, if you look at the trade working capital as a percent of sales, it dropped from last year's 15.5%, this year it's 15%. We have a strong growth in receivables. It's all driven by -- Steve, that's the one area that you see a huge growth. I mean the receivables went up about $500 million, $600 million because -- $500 million because of a strong sales in the last 45 days. We historically always have a strong sales, and so that will payout. But in total, the trade working capital actually had a pretty good improvement in the fourth quarter. The receivable dollars did go up significantly based on our strong sales in the last 45 days.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. So that's the offset to the -- because we can obviously see the inventory number, we'll see in the K.
David N. Farr: Yes, you'll see it in the K. We saw the inventory number, and we gave it out in the balance sheet.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Yes, the balance sheet. Sure. Sure. Sure. Okay.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: We did give it out in the sheet that Pat went through.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Sure. Okay. On the -- on Industrial Automation, have you seen any destocking from CAT? I know that their power shipments flowed pretty dramatically. Have you seen any kind of change in behavior there?
David N. Farr: CAT doesn't stock our inventory. I mean we build-to-order there. So the orders are still pretty good because we are living off of a backlog. I mean clearly, given all the high-growth rates that we had last year at this time, CAT's comparisons are going to be tougher and tougher, and the growth rates are going to drop. But we haven't seen -- it's not a dramatic change. It's a normal cycle CAT goes through. They build up, and they come back down, and that's where we are right now. The biggest issue we had in Industrial Automation is, with our contracts, we get the price increase coverage and we obviously hurts our margin because it doesn't -- we don't make margin in price increase relative to covering steel and copper. So -- but right now, our business at Caterpillar is still very strong, and they had a good quarter. And we expect them to continue to have a good quarter, and we're building the capacity and the product we need right now.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: And then one last question. I guess you're talking about mid-single-digit growth in the U.S. You did 3% in the fourth quarter, I guess that's just some of the negative comps normalizing in Climate. Is that an aspect there of the acceleration that you're expecting in the next year?
David N. Farr: I don't expect acceleration. I expect -- Climate did hurt us in the fourth quarter because they had a very strong last year and this time had a very strong quarter. I expect the Climate Technology or HVAC business North America to be very challenging in the first half of this year. And then we're expecting some moderate recovery in the second half, one, because of easy comparisons and because of all the destocking going on. So we're looking more for the HVAC North America U.S. business to be, I'd say, weak in the first half, and particularly because our first quarter -- I know this quarter's going to be challenging. And then we're going in to the second quarter, which is the first calendar quarter, and I think we'll improve a little bit as we go on the year. But that's where some of that growth is coming on. But we also see a very still good industrial process, and we are also seeing a pretty good growth in our -- Pat Sly Tools and Storage business. As that business has stabilized, we've seen pretty good and steady order pace there.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. Just one last quick one. The wind charge, is that the same business that you guys have kind of highlighted in Industrial Automation, and this is just a market issue? I know you guys have talked about the wind-related sales there. Or is that a different business?
David N. Farr: No, it's the same business. We actually have multiple business in wind and also solar. But we had done this acquisition, and it was a very strong forecast growth expectations in China. That market place is really taking a nosedive as government backed off in supporting it and -- so we felt as we look to the business, the growth profile of that business is going to be different going forward. And we thought it was very appropriate at that point in time to say, okay, just deal with it now and get that behind us and sort of take that value out based on what we saw going forward. But we still had growth on our wind and solar business, and we expect to see growth next year. It's just not going to be at the same piece because the government support is definitely not there around the world right now.
Operator: Our next question comes from Rich Kwas from Wells Fargo Securities.
Richard M. Kwas - Wells Fargo Securities, LLC, Research Division: Just a question on M&A. How you're thinking about it now? I know earlier in the year you were indicating it's going to take a break there, and you're going to focus on share repurchases. Is that still the thought here for fiscal '12?
David N. Farr: Yes. From my perspective right now, I have some small, what I call, bolt-on deals. We're looking at a forecast of acquisitions in 2012 most likely in the $300 million to $500 million range. It's not -- we are looking more small bolt-on deals where we want to digest the Network Power business that we worked on it, and that's our very strong focus there. But we're working with small bolt-ons. From a share repurchase standpoint, we will modulate that back at this point in time. We're going to be most likely be in the $500 million, $600 million range next year in share repurchase. And then -- and obviously keep our balance sheet flexible at this point in time if something big opportunity came along. And we are obviously going to pay back our shareholders this year a significant increase in dividends, to pay back the shareholders for their support of the company.
Richard M. Kwas - Wells Fargo Securities, LLC, Research Division: And then just a follow-up on that. Any regional trends on the M&A market out there? Do you see anything more attractive, less attractive on a regional basis?
David N. Farr: Not really. I don't anything has changed. I think the market right now is sort of, in my opinion, in a slow up transaction mode right now because there's a lot of dynamic changes in the economy. I think you've got to get this economy forecast steady-state a little bit better. I mean, there's a lot of uncertainty in Europe. There's not a lot going on in Europe right now with the flex [ph] of uncertainty going on in Europe.
Operator: Our next question comes from Nigel Coe from Morgan Stanley.
Nigel Coe - Morgan Stanley, Research Division: I just wanted to -- obviously, great job in taking down inventories this quarter. You mentioned getting ahead of the curve. I mean, are you starting to see broader inventory reductions with -- from your customers or maybe suppliers?
David N. Farr: I would say the answer is no. I just felt that with the global economy slowing from -- I look at what we faced last year, Nigel, and where I thought we would be as we exit this year. I feel slower growth in 2012 than I did, say, 6 months ago. And so, therefore, I felt quite strongly that we needed to leave this year with, what I'd say, a leaner inventory and balance sheet on a production standpoint. And then we'll adjust as we move into this different, I would say, dynamic 2012. But I still see growth, but it's definitely going to be slower than just a few -- 6 months ago. I mean at one time, I felt -- I think I actually probably said to the outside world, I thought that 2012 is going to be more in the 7%, 8% type of growth range, and I don't think that will be the case now.
Nigel Coe - Morgan Stanley, Research Division: Okay. And then on Network Power, I mean, obviously, a great job on the sequential improvements from 2Q up to where we are now. Obviously, some of that is due to fixing some of the issues in China and India. But how much of that is also due to chloride accretion? Because you set some fairly maybe ambitious targets for the accretion from chloride. How are we tracking towards those targets?
David N. Farr: We reviewed our plans for the board where we stand relative to 2 significant acquisitions both in chloride and Avocent, and we are slightly better than our acquisition plan for this year. Now it's one year out of the box basically. So from my perspective, we are on track. It's -- we should see more acceleration as we go into to 2012. And Scott Barbour and the Network Power team know that I'm expecting that. So I think the real mark for me, from my perspective, yes, we've made some good headway, we've really made a mess of it in the first half of the year. We've got some good recovery, but we've got a long way to go here. I think that the key milestone for me and the key port of execution for me, from my perspective in the OCE [ph] How this team performs over the next 12 months, not necessarily quarter-by-quarter, but how they perform over the next 12 months because they have some significant things they have to get done relative to restructuring and also profitability improvements. And I think that we've got a good start, we've got to keep it going and get it done now. So I think the next 12 months, from my perspective, we are okay right now, we're contributing to the shareholders. Now we got to really start contributing next year.
Operator: Our next question comes from Josh Pokrzywinski from MKM Partners.
Joshua C. Pokrzywinski - MKM Partners LLC, Research Division: I just wanted to dig in first on transport and refrigeration, you kind of called that as strong in the script. Some of the OEMs seemed to have kind of changed their tone there recently. Just any update on what the incoming order pace is there and kind of forward trajectory.
David N. Farr: I I'll be very honest, I don't get the order pace by product line like that, but I can tell you that on a global -- we're a global business, and our global refrigeration and transport business has held up. It's not equal across all customer base, but it's held up, and I'm expecting again 2012 to have a good growth in our transport and refrigeration business. And I just don't get a product line order number for every company at Emerson. If I did that, I would be -- my desk would be very full of documents.
Joshua C. Pokrzywinski - MKM Partners LLC, Research Division: Understood. I was just trying to...
David N. Farr: I know, and I wasn't being cute. I'm just saying I know what's going on, I can't tell you the specific number. I know it's still good, but there are definitely some people that are weaker than others, but overall, we're a global company in this area here, and it's holding up pretty nicely.
Joshua C. Pokrzywinski - MKM Partners LLC, Research Division: All right. Read you loud and clear on that one. And then just shifting over to Network Power, it seems like the new 5-year plan for China entails a good amount of broadband growth and kind of building out that market. Any pull-through from that on the embedded power and computing side, or I guess anywhere in Network Power starting to see participation from the new 5-year plan?
David N. Farr: Well, the answer is yes, we will. We will see that because that is both from a telecom basis and also an enterprise, which is the data center more enterprise basis. We will see both of them. The big issue there will be is that it will be over multiple years. We actually did see some pickup. If you look at the improvement in the fourth quarter, we saw some pretty good improvement in China in the Network Power basis as the orders picked back up. So I would expect 2012 to have a pretty good growth rate. We are still doing some pruning in Network Power. As I told the people, as we started this process, I think May and June of last year, it would probably take us 12 to 14 months, so we're still not finished with that. So some of our growth rate will be modulated, but that will help our profitability. But overall, with the China strategy, China growth program, we're going to see pretty good growth in many of our businesses over the next 4 or 5 years.
Joshua C. Pokrzywinski - MKM Partners LLC, Research Division: Certainly. And just to make sure I'm clear. I guess to think of the volume growth helping to accelerate maybe that pricing sticking a little bit better is the right way to think about it?
David N. Farr: Yes. That is the right way to think about it.
Operator: Our next question comes from Eli Lustgarten from Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: Just one clarification, the $19 million charge for the wind, is that the EBIT number of the Industrial Automation business?
David N. Farr: No, it's not. It's in corporate.
Eli S. Lustgarten - Longbow Research LLC: It's in corporate. Okay. I just want to make sure of that. And can you talk about how you're planning to run to inventories as we go into 2012? Are you planning to take them -- run them flat through the first half of the year or down? And the same thing with restructuring. With Europe being as difficult, not only as it looks, but could be for a while, are you planning or re-examining your restructuring effort, particularly in Europe at this point?
David N. Farr: Yes, relative to inventories, I would expect our inventories to build slightly in the first half of the year, but we're going to build them in a little different place. So in total, I would expect that number to come up a little bit. I would say the whole year, we're going to probably run -- basically what I see right now, I would expect our inventories to build a little bit and -- but not nearly as much and probably move back down towards that 2 1 to 2 15 range as we finish the year. But that's what's going to happen with them. We're going to very selective where we build inventory. Relative to restructuring, the restructuring is going to be very, very, very much -- that's 3 verys -- focused on Europe in 2012. These are programs, as you know, how difficult it is, we've been working now for a while, and we are teed up ready to start executing those. And some of those have already started being executed in the first fiscal quarter or the fourth calendar quarter. So of the $100 million, from my perspective, a majority of that money is going to be spent in Europe, and that if we see sloppiness occurring, we will allocate more money for restructuring if necessary if things get tougher out there.
Eli S. Lustgarten - Longbow Research LLC: And have you been hedging copper? With copper coming down as much as most of the materials, shouldn't you have a tailwind for material costs in 2011? You said you're going to stay green, but shouldn't it be more than that assuming that hedges roll off?
David N. Farr: We hedge our copper. We are out pretty far in 2012 already. The average price is obviously higher right now than the current spot price, but that's what we do. We deal with that because you have to keep the policy going. And from my standpoint, the actual net material inflation will slow down next year. It'll still be obviously still a positive number. We're going to have to get price increases, but it's -- right now it's better for us, both in our key commodities. But we have hedged close to 80% of our copper for 2012 already.
Operator: Our next question comes from Terry Darling from Goldman Sachs.
Terry Darling - Goldman Sachs Group Inc., Research Division: Dave, I wonder if you want to clarify some of the perspective on Q1. First, from an organic basis, given your earlier comment on Climate, a very difficult comp in Industrial Automation and then some of the Network Power decel and some of the order data there. Should we think about first quarter organic being below this 5% to 7% organic range that you talked about for the full year and that it builds as we move throughout the year and comps get a little easier?
David N. Farr: First of all, I don't -- as you know, I don't give quarterly numbers, and I don't give quarterly guidance. Secondly, the one issue that I should comment and will obviously put out now that you've touched the subject, I'm going to say we'll put out in the 8-K, we -- given what's going on in Thailand right now, we are going to be impacted somewhere around $300 million to $400 million in the quarter in sales, as we have to -- as we're reallocating -- as we reallocate our production around in the Process world. We, at this point, have done our best guess, where just something is coming again in the last couple of days when we're working on it. It's been massive disruption to our supply base and some of our assemblies. And so we're going to have an issue from a timing standpoint, but for the whole year we'll be okay, but we're going to get hit here in this first quarter, but I don't give forecasts on a quarterly basis. But you should factor in the fact that we will have some impact from the Thailand shipments because in our Process business which will hurt us. And we'll put that out so everyone knows that too. That's my best guess right now. I don't know exact -- I mean could be wrong. I don't know, but that's our best guess as of this morning. I asked the guys in case I had to get into it.
Terry Darling - Goldman Sachs Group Inc., Research Division: That's very helpful. I mean any sense -- I mean company average margin type of impact, should we think about trying to draw that down to the EPS level?
David N. Farr: I would say that from my perspective, our Process business is very profitable, and you're taking out some very profitable business on -- in the company, so it's going to hurt us. It's going to be above average margin.
Terry Darling - Goldman Sachs Group Inc., Research Division: Overweight process here. Okay. And then is the $20 million healthcare charge in the full year guidance?
David N. Farr: Yes, it is.
Terry Darling - Goldman Sachs Group Inc., Research Division: Okay. And then, Dave, just coming back to the Climate margin overall, the comment on mix, I think a lot of us are seeing that affect on other HVAC companies as it relates to the move down to 13 SEER, which I think we would all expect for you guys would be lower margin. I mean, given the first half still tough, you're clearing out some inventories and the mix down, are you thinking about Climate margins as flat to down next year within the scope of your up 50 basis points across the whole company?
David N. Farr: Well, I'm not -- again, I'll say it, I'm not going to give you individual business segment margins at this point in time, but I would expect the profitability of the Climate margin next year will be -- there will be a struggle this year given the fact that first half of the year will be a challenge and we are expecting some recovery in the second half. But we have some new products coming out, and we have a lot of investments going on there. But I would say that will be more challenging margin as we look at it, and I'll give you more details as we get into February. But clearly is going to be more challenging. They had record levels of profitability in 2010. The second half of the year really struggled in 2011 as volumes dropped. And we've continued our investment. We have a lot of important technology investments under way in Climate, and I -- and we're maintaining those for the -- for a long-term customer base and our growth profile.
Operator: Our next question comes from John Inch from Bank of America.
John G. Inch - BofA Merrill Lynch, Research Division: Industrial Automation, was the sequential and year-over-year margin pressure even though you had 15% underlying sales growth, was that a function purely of the ROS that you called or were there mix issue or something else going on there?
David N. Farr: The fundamental issue there is the fact that with a massive amount of material inflation and the price comes in and we run that through the sales line and the GP line, you get no margin on it. That truly hurt our margin in Industrial Automation, and that's what hurt it. We had a great year, but that quarter in particular, and all of a sudden we get a big price increase like that, it just tears apart that margin. Overall, the margin profitability in Industrial Automation is still running pretty good.
John G. Inch - BofA Merrill Lynch, Research Division: Dave, your 5-year plan at the February meeting talked about margin 16% to 18% with the plus sign on the 18%, and the slower growth structural environment you're calling out 18%, does that suggest the range moved higher or that margins have kind of capped themselves, and as growth resumes, you're going to -- we should expect kind of lower margins for Emerson? It still drives your EPS, but I'm still trying to understand sort of how we should think about the 18% in the context of slower growth, but obviously your putting up the 5% to 7%.
David N. Farr: From my perspective, you're going to see in February of this year, you're going to see my margin target go up as I review with the board. We have the capability with what we're doing right now to grow the company also and to increase our incremental investments, and also continue to improve our profitability. And the key issue is, as we've talked on conference calls before and also on conferences, is I'm trying to manage this from the standpoint know where that margin point is that would also start hurting our incremental growth. Right now, we are not hurting our incremental growth, and we are able to put higher levels of profitability and also invest. So I would expect in February to see a higher number at the top end of that cycle now and maybe 15% to 19% as we continue to mix this company.
John G. Inch - BofA Merrill Lynch, Research Division: That makes total sense. I'm assuming that would mean a higher potential gross margin, right, Dave? I mean I think you gave a range of 39.6% to 41%, and you've done these numbers at the 39.6% level. I'm assuming that was ROS issue as well versus expectations.
David N. Farr: Yes, from my perspective, the GP margin targets still is in that low-40% range, yes.
Operator: Our last question comes from Deane Dray from Citi Investment Research.
Deane M. Dray - Citigroup Inc, Research Division: Just to clarify, on Thailand, the supply disruptions, how does that compare to what you went through in Japan?
David N. Farr: I think it's going to be more significant. The issue being there is that we could go out in end distribution and buy inventory. And relative to component level, this is a lot more sub-assembly work for us being done. And so I think you're going to find an industry, if you're sourcing, if you have suppliers coming out of Thailand, particularly this part of Thailand, there's going to be a 3- or 4-month disruption. So we have an aggressive plan which we reviewed with the board today. That's why I now know approximately what it's going to cost us. And the key issue for me is, we have a plan under way and we are taking action and -- but it's going to take us 3, 4 months to get this under control again.
Deane M. Dray - Citigroup Inc, Research Division: That's helpful. And then just maybe if you could clarify. We play the third quarter conference call, you were decidedly unsettled about talking about 2012. And then today, you're far more constructive. And in fact, if I had to guess, the GFI numbers you're picking are towards the upper end of what might have been the expected range. So what is giving you that confidence? It sounds like there's a lot of items that you can control your own destiny, but what changed in the last couple of months that have given you a more constructive outlook?
David N. Farr: I'm 3 months older, and with age, you get maturity. And sometimes, Deane, to be honest, I'm a passionate individual and sometimes my passion gets in its way. It's one of the good things that helps me be a CEO, but also hurts me from time to time. A cooler head would think about what's going in this world and what we could do and what we can control. And I believe as I look at this, as it unfolded in a global basis, I feel that growth opportunities are still there for us. And I can see that way through, the stone through that from an Emerson standpoint, you'll stepping through this. And we're making those investments. And let's put it this way, maturity, you learn from sometimes even at 56 years old, you can be immature. And I was immature at 56. So I'm stronger now, if you understand.
Deane M. Dray - Citigroup Inc, Research Division: I appreciate that. I certainly do. And just lastly, I know it's a welcome to Pat and best wishes for Lynne, but how about congratulations for Dave getting into the board of IBM?
David N. Farr: Well, thank you very much. I don't know if they're ready for me, though.
Deane M. Dray - Citigroup Inc, Research Division: That's what we're wondering, but best of luck.
David N. Farr: Thank you very much, Deane. I look forward to seeing you soon. All the best to you. And again, I want to thank Lynne. I want to thank, well, welcome Pat onboard and the whole OC, the business leadership. And we're looking forward to a fun and exciting and productive 2012. And again, trying to create value for our shareholders across this company around this world. And hopefully, our shareholder base is happy about the strong dividend increase. And being a large shareholder myself, I'm very happy, let's put it that way. And with that, I'd say goodbye. Thanks.
Operator: This does conclude Emerson Fourth Quarter Fiscal 2011 Results Conference. Thank you for your participation. You may now disconnect.